Operator: Good morning. And welcome to the Bio-Techne Earnings Conference Call for the Fourth Quarter of the Full Year Fiscal 2014. At this time, all participants have been placed on a listen-only mode and the floor will be open for questions following the management’s prepared remarks. I would now like to turn the call over to Mr. Jim Hippel, Chief Financial Officer.
Jim Hippel: [Technical Difficulty] -- as well as meeting with customers. Also on the call with me is Frank Mortari, Vice President, Corporate Development. Before we begin, let me briefly cover our Safe Harbor statement. Some of the remarks made during this conference call should be considered forward-looking statements. The Company's 10-K for fiscal year 2013 and 10-Q filed for the fiscal quarter ended March 31, 2014, identifies certain factors that could cause the Company's actual results to differ materially from those projected in any forward-looking statements during this call. The Company does not undertake to update any forward-looking statements as a result of any new information or future events or developments. The 10-K and 10-Q as well as the Company's other SEC filings are available on the Company’s Web site within its Investor Relations section. During the call, non-GAAP financial measures may be used to provide information pertinent to ongoing business performance. Tables reconciling these measures to most comparable GAAP measures are available in the Company's press release issued earlier this morning or on the Techne Corporation Web site at www.techne-corp.com. So with that, I’ll turn the call over to Chuck.
Chuck Kummeth: Thanks Jim. Good morning and thank you for joining us today. As I stated in our earnings release, I’m extremely pleased with the quarter but even more pleased with the year-end results. To come back from negative growth last year to 3% organic growth this year given the headwinds of NIH funding and increasing competition is a great achievement for this team. We started the year telling all of you in our first ever earnings call, that we would achieve better than historical growth rates in China which were in the 15% to 20% range raising them into the high 20s. We actually achieved 37% organic growth in China for Q4 and 27% for the year. Investments made in China are paying off. By next year with our continuing growth in China over 25% and the acquisitions of PrimeGene growing 30%, Novus and ProteinSimple we should be able to both the Bio-Techne China company that has drawn from 12 million in revenue last year, 12 over 30 million by this time next year. It’s a very exciting time for Asia business. As we’ve done all year, we continue to strengthen our commercial execution in North America in this quarter, while we have no weather to content with like last quarter we still had a difficult year-over-year comp with regard to academic sales. However, by leveraging our field sales investments in Fisher relationship, our academic sales have stabilized since Q1 of 2014, positioning us to accelerate growth next year with the introduction of the PrimeGene and Novus fighter brands. Turning to Europe, we did see some lumpiness there in the past several quarters similar to where other peers have reported. In Q4 we had some Easter seasonality in results but the quarter was less than we had hoped for. Overall for the year, we did have some organic growth over the previous year. We believe the strategic acquisitions we have made will really help our Europe business since these businesses can leverage our strong operations in Europe. Novus is growing at a double-digit rate in Europe as an example. We are also confident in the potential future ProteinSimple in Europe. These businesses are firing in all cylinders. To speak on these strategic acquisitions, 2014 was a very active year for Bio-Techne especially in Q4 of fiscal 2014. We started the year with the acquisition of Bionostics, which expanded our clinical control segment to include control solutions in IVD devices used in blood glucose coagulation and blood gas testing. Our team did work very hard throughout the year on a number of targets accumulated into two acquisitions in Q4 and two more which closed in July. First we made substantial equity investment in CyVek, structured to be an acquisition after certain commercial thresholds are met. CyVek produces a transformative immunoassay platform which delivers a most advanced and efficient bench top immunoassay system. We filed this in Q4 by acquiring PrimeGene which will provide us manufacturing capabilities in China and a fighter brand for recombinant proteins here in the U.S. And in July we announced and subsequently closed the acquisitions of Novus and ProteinSimple. Novus took standard portfolio of antibody offerings to a protein 250,000 which can be delivered to our customers through an innovative digital commerce platform and ProteinSimple provide our customers with instruments that have revolutionized the analysis of Proteins in terms of reliability, consistency and productivity. All these acquisitions fuel our long-term strategic plan to expand our customer offering and geographic coverage while leveraging our core product base of the agency controls. We even changed the trade name of the company, to Bio-Techne which unifies and positions our brands under one complete portfolio. Despite all the activity this year around acquisitions, we have not lost focus on our strategic pillar of driving innovation to produce core products to fulfill a greater number of our customer needs. In fiscal year ’14, we released approximately 1,600 new products which generated $3.4 million of new revenue in first year. This compares to approximately 2,100 new products released in fiscal year ’13, which generated only 2.4 million of new revenue in year one. Our prioritization process is already starting to bear fruit and we believe there is much more to come with the key opinion leader network in scientific advisory board that our new CTO has created to collaborate on tools needed to support the leading edge of life sciences research. Overall, I am extremely proud of the work out team has done this year and want to thank our employees for all their efforts. We have worked hard to build a stronger global team and it is paying off. As NIH and other funding return to more healthy levels, we intend to capitalize on the pent up needs for tools and reagents that researchers need for their work. We have and we will continue invest in innovation and quality further demonstrating the Bio-Techne as the premier brand and the premier global biotech company. Jim I will turn over to you now for dive into these financials.
Jim Hippel: Alright, thanks Chuck. Given that this is a year-end call and we just closed the Novus and ProteinSimple acquisitions. I have a number of topics to cover in remarks this morning. First I’ll start with an overview of our Q4 and full year 2014 financial performance. Next I’ll provide you a recap of the terms regarding revolving credit facility that was open partially fund the ProteinSimple acquisition. And finally although we do not provide future guidance and we’ll provide some additional financial data and longer term goal regarding our recent acquisition giving more clarity as the impact these acquisitions may have on our financial performance in 2015 and the years following. So, starting with the overall recent financial performance. We delivered a solid fourth quarter resulting 7% increase in adjusted EPS to $0.88. For the full year adjusted EPS was up6% compared to prior fiscal year to a record $3.39. As detailed in our press release adjusted earnings per share exclude acquisition related cost, is a cost such as intangible asset amortization cost recognized upon the sale of inventory that was written up to fair value and professional fees related ongoing acquisition activity, also excluded the impact of certain taxes. Under GAAP EPS was $0.72 in Q4 and $3 even for the full year compared to $0.77 and $3.05 in Q4 and full year 2013 respectively. On the top line Q4 total revenue was 92.5 million an increase of 16% year-over-year an organic growth was 2%. Q4 reported revenue include 13% growth from our Bionostics and PrimeGene, PrimeGene not only sale and approximately 1% impact in foreign exchange. For the full year total revenue increased 15% year-over-year and organic growth was 3%. Full year growth includes 11% from acquisition and 1% impact in foreign exchange. Moving on to the detail the P&L, total company adjusted gross margin came in at 73.4% in Q4 down 320 basis points in the prior year to the products interchange associated with the acquisition of Bionostics last July. Excluding Bionostics gross margins were essentially flat compared to last year. Adjusted SG&A in Q4 was 14.1% of revenue approximately 30 basis points more in the prior year. The full year 2014 adjusted SG&A was 13.5% of revenue 40 basis points higher than 2013. The modest increase is a result of the commercial and infrastructure investments made throughout fiscal year 2014. Finally, R&D expense came in at 8.3% of revenue for the quarter 80 basis points below the prior year. For full year 2014 R&D expense with 8.6% of revenue also 80 basis points below 2013. For both Q4 and full year higher overall spend on R&D actually is partially offset by greater revenue generation in new products launch as Chuck discussed in his opening comments. Turning to cash flow and the balance sheet. The headline numbers are $37.9 million in cash generated from operations for the fourth quarter and a $136.8 million for the full year was up 26% and 11% respectively over the prior. At year end we had $363 million of cash in short-term available-for-sale investment. There is a large portion of these investments liquidating in the cash in Q4 to prepare for funding of the July Novus and ProteinSimple acquisitions. As a fiscal year end we had no debt. Our investment in capital expenditures was $13.8 million for the full year and we returned over $45 million to our shareholders in the form of dividend. That wraps up my comments on the total company performance for the fourth quarter and the full fiscal year. Now I’ll walk you through revenue performance of our two business segments, starting with biotechnology system. This is the larger of our two segments which develops, manufactures, and sell biotechnology research and diagnostic products worldwide. For the fourth quarter the biotechnology segment reported $76.7 million revenue and 1% organic growth compared to fourth quarter last year. Full year revenue for the segment was $300.6 million with organic at 3% for this year. The lower growth in Q4 was mostly attributable to year which was down 3%. The timing of Easter in Q4 this year versus Q4 last year as well as the timing in larger bulk orders that occurred in Q3 versus Q4 last year attributed decreases. However despite continues softness in academic market and consolidation in Big Pharma, Europe managed to achieve positive 1% growth for the year. In the U.S. industrial customers such as pharma and biotech in the biotechnology segment continue to grow 4% in Q4 which is consistent with the growth we saw from these customers all the year. U.S. academia on the other hand continues to be softened for the last year down 8% for the fourth quarter and down 9% for the year. However, as Chuck indicated in his opening comment U.S. academic sales bottom in the first half of fiscal year ‘14 and the run rate has been relatively stable nice. Thus we are expecting this piece of our business to improve next year, with the addition newly acquired brands to our portfolio as well as in overall more stable environment with the proposed NIH funding. As for biotechnology sales in China Chuck has pretty much shared the highlights there just a great quarter in Q4 the 37% organic growth in the quarter compared to fourth quarter last year to cap up over the great year and experienced 27% organic growth over last year. I’ll note that these numbers are slightly different than those in the press release is close as China region including those figures are Taiwan and Hong Kong which are more mature market and that’s usually experience lower growth basically in China. Looking ahead to next year we expect to continue to achieve strong growth in China both organically and from our recent acquisition. Finally, the Pacific Rim which generated about 10% of the biotechnology segment’s revenues, we experienced organic growth of 5% for Q4 and 10 for the full year. The lower growth rate in Q4 was driven by the timing of the number of orders in Japan that occurred in the cost of Q3 versus Q4. The region’s growth rate for full year is indicative of our expectations going forward. Turning now to the -- our other segment, clinical controls which develops blood controls and calibrators for use in hospitals and clinics. This segment closed Q4 with $15.8 million of revenue and finished the full year with $57.2 million. Organic growth which excludes the Bionostics last July was 8% in Q4 and 7% for the full year rounding out a year of solid and consistent demand and operational execution. Now before I turn the call over for Q&A I would like to provide some additional insight into the financials of our most recent acquisitions and investment as well as reminder on the financing details most of which were communicated in the recently 8-K. I will start with the financing. All of our acquisitions and investments in Q4 were funded with cash on hand. This includes our investment in CyVek as well as our purchase of PrimeGene. In early July of fiscal year ’15 our purchase of Novus was also funded with cash on hand. And in late July of fiscal year 15, our purchase of ProteinSimple was funded by a combination of cash on hand as well as $150 million revolving credit facility that was opened with BMO Harris Bank. $125 million of this credit facility was drawn upon to fund the purchase of ProteinSimple. The interest in this facility accrues at available rate of LIBOR plus a margin ranging from 1% to 1.75% depending on certain leverage ratio. Currently, our interest expense on our debt is accruing at 1.16%. The one time bank fees associated with opening the credit facility was 375,000 and ongoing fees for any unused portion of the credit facility as 15 basis points per annum. Now from financial details on the acquisition themselves. Going in chronological order, I will start with CyVek. CyVek is not really an acquisition yet but rather an equity investment that was made on April 1, 2014 with a commitment to acquire within 12 months if certain future milestones are met. CyVek will have no impact on our P&L until the time it is fully purchased. As of right now the milestones are on track and we expect the full purchase to consummate sometime in the second half of fiscal year ’15. Next is PrimeGene. As we announced in a prior press release, PrimeGene was acquired on April 30, 2014 had an immaterial impact to our fiscal year ’14 results. In calendar year 2013, PrimeGene had product sales of approximately $4 million with growth in operating margins that were similar to the rest of our biotechnology segment. Over the next five years we have aspirations for this business to increase 30% annually as it continues to grow in a rapidly expanding local Chinese market but also has an OEM supplier of private brand to be launched in U.S. and Europe. The acquisition of Novus followed PrimeGene on July 2nd 2014. Novus’s calendar year 2013 revenue was approximately $19 million. It is wide product offering of over 225,000 antibodies necessitate the large mix of OEM supplies versus proprietary products. Thus it is gross margins are lower than our current biotechnology segment and roughly 15% while EBITDA margin during mid-teens. Our aspiration over the next five years for this business to grow organically in the upper single digit annually with EBITDA margins approaching 30% by year five, our intention for this growth to be supplemented by R&D systems brand leveraging Novus’ digital commerce platform and Novus leveraging existing Bio-Techne’s global sales channels and proprietary capabilities. Finally, our latest acquisition and thus far our largest, ProteinSimple closed July 31, 2014. ProteinSimple’s revenue for the last 12 months ended June 30 2014 was approximately $60 million with EBITDA of approximately $9 million. Gross margins for the past year have been in the 60% range which is quite strong for an instrument-based business signifying the novel technology of the platform and high consumable pull-through. Our aspiration over the next five years for this business is to maintain a 20% annual growth rate as protein simple continues revolutionize the Western Blotty have done in the past 30 years by investing in further global commercial penetration in existing instruments and further innovation on next generation platforms. Through gradual sales leverage on these investments, we see the potential for EBITDA margins to approach the upper 20% range by year five. These numbers don’t factor in other aspirations to source consumables used by ProteinSimple instruments from existing Bio-Techne reagents, nor possible sales synergies with the eventual CyVek instruments which we expect to own by the end of this year. These synergies we believe are real for we’re putting the time table and valuation on them right now is not practical. That concludes my prepared comments. And with that I will turn the call back over to moderator to open the line up for some questions.
Question: 
and: 
Operator: (Operator Instructions) And our first question will come from Matt Hewitt with Craig-Hallum Capital. Please go ahead.
Matt Hewitt : Just a couple of questions, first, you’ve been very busy on the M&A front and the investment front. I am curious as you look at your portfolio today, where do you see some gaps? What should we be anticipating as we get into fiscal 15? Where are some areas that you think you might be investing to broaden your portfolio?
 Craig: Just a couple of questions, first, you’ve been very busy on the M&A front and the investment front. I am curious as you look at your portfolio today, where do you see some gaps? What should we be anticipating as we get into fiscal 15? Where are some areas that you think you might be investing to broaden your portfolio?
Hallum Capital: Just a couple of questions, first, you’ve been very busy on the M&A front and the investment front. I am curious as you look at your portfolio today, where do you see some gaps? What should we be anticipating as we get into fiscal 15? Where are some areas that you think you might be investing to broaden your portfolio?
Chuck Kummeth: We don’t run on the schedule for acquisition. You run a process, and you run an offer, and you work it they kind of pick on your timing, we were unfortunate to succeed in a pretty high percentage of trial this year. And there will be more I am sure in the future. We are following our strategic plan pretty carefully and we’ve talked as far back as about a year ago now with our initial come out, our strategic plan. And in broadening our portfolio antibodies is one of the key things we want to do which we have done with Novus. There are certainly other categories of antibodies that are in more narrow product platform ranges like antibodies around flow or around IHC, they could be significant and could be more than useful specially antibodies they could work within our systems, our new platform that we acquired, and going after new territories like China for IBD and other areas like that and et cetera. We are also always on the hunt for new CyVek-like and ProteinSimple-like platform. We have mentioned many times that we’re not going to in instrument business to be instrument business. We like content and we want to drive that content and value our content and full solutions for our customers. And if this can be done with a novel new instrument that leverages our content in a way never done before like CyVek and ProteinSimple do then we’re interested. And there are other areas or categories that there were we’re looking and you're probably as well familiar with them as we are and this is a biotech industry and there is a new way to do all these laboratory processes all the time and anyone that comes out that have IP that look novel that look like they re-leverage and benefit from our content we’re interested, so I would say stay tuned.
Matt Hewitt : Okay, all right, fair enough, and maybe one more. There is a new proposal in the Senate right now that is looking to boost the NIH funding. It's not the 2% to 3% type increases that I think we have become accustomed to over the past few years, or even cuts. This drive could drive 10% growth in NIH spending over the next few years. I'm curious if you had to -- I realize it's the government, but if you had to handicap the reality or the potential for that to occur, and what that would mean for your business, that type of an increase in NIH spending?
 Craig: Okay, all right, fair enough, and maybe one more. There is a new proposal in the Senate right now that is looking to boost the NIH funding. It's not the 2% to 3% type increases that I think we have become accustomed to over the past few years, or even cuts. This drive could drive 10% growth in NIH spending over the next few years. I'm curious if you had to -- I realize it's the government, but if you had to handicap the reality or the potential for that to occur, and what that would mean for your business, that type of an increase in NIH spending?
Hallum Capital: Okay, all right, fair enough, and maybe one more. There is a new proposal in the Senate right now that is looking to boost the NIH funding. It's not the 2% to 3% type increases that I think we have become accustomed to over the past few years, or even cuts. This drive could drive 10% growth in NIH spending over the next few years. I'm curious if you had to -- I realize it's the government, but if you had to handicap the reality or the potential for that to occur, and what that would mean for your business, that type of an increase in NIH spending?
Chuck Kummeth: Yes, I saw the article. I think right now it’s pretty early to conjecture its merit or how long it will take. Obviously if you go through and thee is funding level getting back to upper single digits to 10% we’re going to benefit for sure being with the leader in proteins in world, so for sure that will happen. And so if it does because as we broaden our portfolio and expand another offerings and hope to become one of the largest provider of antibodies as well in the world, we should do well with this, so I wish good luck.
Operator: Our next question comes from Jeff Elliott with Robert W. Baird. Please go ahead, sir.
Jeff Elliott : Good morning and congratulations on the quarter. I heard the comments about China, where you expect the run rates to be next year, but what do you thinking from a split of organic growth and acquired growth? What's baked into that assumption?
 Robert W. Baird & Company: Good morning and congratulations on the quarter. I heard the comments about China, where you expect the run rates to be next year, but what do you thinking from a split of organic growth and acquired growth? What's baked into that assumption?
Chuck Kummeth: I would say right now on their core organic growth, you could continue to count on estimates 25% range and like we stated. Everything above that which the number that kind we kind of showed I guess would on top within organic of course. And as ProteinSimple and Novus and PrimeGene grow in China, which will also growth at great numbers, great growth rates, it will hopefully at least keep pace with our core organic growth. I would long term if we could say pace organically remember here from now these deals will become organic, if we could stay that 25% rate or better that will fantastic goal for us. And that is close we think we can be.
Jeff Elliott : Okay. Chuck, in your opening comments you mentioned increasing competition. Can you elaborate on what you meant by that?
 Robert W. Baird & Company: Okay. Chuck, in your opening comments you mentioned increasing competition. Can you elaborate on what you meant by that?
Chuck Kummeth: Nothing more than what we have seen. The likes of Pepper Techs and Abcams and then a lot of smaller players are getting bigger and stronger. The door was opened to all of the funding cuts here in last two to three years with above this being tight and customer is taking chances on lower quality products and in some instances getting their work done acceptably, at least initial research done that way. As you know from our growth margin, this is a profitable business and this is going attack attention. I don’t see that going away. And in China it’s only going, if there are great opportunities in China, the growth rates are wonderful but with all that growth and all these opportunities in embryonic nature the biotechnology industry in China, I think you’re going to see more and more players as well. This is why we have such a strong strategic initiative in China to remain a leader and even accelerate that leadership position. And having PrimeGene, it’s going to allow us kind of double-decker kind of approach here.
Jeff Elliott : What do the margins look like on the PrimeGene product? I guess you can expand that over to the U.S. and Europe. How should we think about the gross margins on that?
 Robert W. Baird & Company: What do the margins look like on the PrimeGene product? I guess you can expand that over to the U.S. and Europe. How should we think about the gross margins on that?
Chuck Kummeth: Actually, it’s kind of weird because as you know most companies expand in China and we’ve all done in few times in different industries and Chinese, they are very price conscious and you usually have lower margin in China and I would say overall and we’ve stayed overall, we’ll see lower margins in China, PrimeGene is very similar to our business right now but it’s also very, very small. So with that kind of basis it’s really not something that glean a lot of input out of but all they run a good business and the margins are very strong and probably much better than typical for what the Chinese competitor.
Operator: Our next question comes from Amanda Murphy with William Blair. Please go ahead. 
Amanda Murphy : Just a question on organic growth. So obviously there is a lot of moving parts with Europe and China and then some of the comp dynamics going forward. So I am just curious how should we think about the rate, organic growth rate. It’s been a bit lumpy over the past year, although obviously accelerated from prior levels. So just trying to get a sense of 3% or the 5% for example?
 William Blair & Company: Just a question on organic growth. So obviously there is a lot of moving parts with Europe and China and then some of the comp dynamics going forward. So I am just curious how should we think about the rate, organic growth rate. It’s been a bit lumpy over the past year, although obviously accelerated from prior levels. So just trying to get a sense of 3% or the 5% for example?
Chuck Kummeth: We don’t provide we’ve given you kind of over long-term sinking is. Our goal is to get to the mid-single digit. We had a good move in that direction from negative last year. I’d like to tell you Amanda that we’re going to hit 5% in organic growth this year. I mean it’s good with we’ll see what happens if we truly have funding issues behind it’s a closest competition, we’ve a better chance I think, it will rely on how well we do with the Fisher type relationship how we manage our channels and how we leverage possible synergies with some acquisition with our core organic products right now. And all that comes together well all-in-all I think north of 3% is more than just possible should be doable. Getting above 5% though would be very difficult at this point given that we still see as headwinds in Europe is still kind of a difficult question. So…
Amanda Murphy : And in terms of Fisher, I don’t you think you mentioned the contribution from that this quarter, has that been meaningful and thinking about that going forward just obviously there is a lot going on in this space in terms of M&A, so curious how you are looking at that specific relationship.
 William Blair & Company: And in terms of Fisher, I don’t you think you mentioned the contribution from that this quarter, has that been meaningful and thinking about that going forward just obviously there is a lot going on in this space in terms of M&A, so curious how you are looking at that specific relationship.
Chuck Kummeth: It is going very well. The work together on the two companies with the systems we call the punch out systems especially in areas with Luminex kits and other concept that they were very eager to get their hands on and move for us, it’s going very well. I mean the growth rates are amazing it’s just too small. They are getting trend in they are getting more comfortable, the numbers are roughly double levels that they were a quarter ago. It is only a partial quarter, so it’s moving the right direction for sure. And as you know Amanda, we know we have to also deal with potential swap or the real number there is certainly some swap in that too. We certainly have some institutions that are saying well now let’s make things simple and everything to Fisher and buy so much other stuff from Fisher. So we had some sales from direct before so some of that’s working through as well, we’re creating all the right dashboards and working together to find out what’s what, they are extremely focused on incremental growth, they are paid that way as you know, that’s the incentives are. So areas like where they are going into Canada, very, very heavily are some strong areas we are looking at with them and overall I am very encouraged that it’s looking very good. If you look at what we would call the U.S. retail segment in the academic sector, as we mentioned we are the nine from either this quarter we’ve been double digit down every quarter before this. I think some of that is coming from channel, coming from health of Fisher it was definitely taking up the ball in our academic retail space. 
Amanda Murphy : And then just last one, can you talk a little bit about M&A, I am curious, I think you said in the past that you are comfortable with sort of three times leverage numbers is that still true? And curious kind of what -- just I guess generally what’s your appetite for larger deals and what sort of the opportunity there and have you done quite a few already, so curious if you are done [indiscernible].
 William Blair & Company: And then just last one, can you talk a little bit about M&A, I am curious, I think you said in the past that you are comfortable with sort of three times leverage numbers is that still true? And curious kind of what -- just I guess generally what’s your appetite for larger deals and what sort of the opportunity there and have you done quite a few already, so curious if you are done [indiscernible].
Chuck Kummeth: Yes, we’ve got plenty of dry powder left. I’m going to let Jim follow on with my answer with some more details but I think we’re not out to be a PE type company, we’re not going to be riding the line like a thermal fisher we just don’t have that kind of experience or credibility yet, so I think staying safe after 35 years of no debt, I think being between two and three times of leverage I think is a safe place to be, though we will always cover our covenants, cover any mishap in the economy whatever all should happen, we’re going to be patient, very patient. Jim, do you want to say anything else?
Jim Hippel: Yes, I will just add. Just a three times leverage is still our comfort range in general we do have a lot to digest right now with the recent acquisitions we did, but the good news there is that we’ve also inherited some strong management teams with those acquisitions which I think will make the simulation so to speak in the Bio-Techne go that much smoother and quicker. And so if and when the right opportunity comes, if it’s a large one I think we will be ready.
Operator: (Operator Instructions) Our next question comes from Dan Leonard with Leerink. Please go ahead.
Dan Leonard : Thank you. ProteinSimple considered coming public to aggressively expand their investment in sales and marketing, among other things. Is that still the plan, now that the business is part of Bio-Techne, or do you envision a different level of investment for that business? 
 Leerink Partners : Thank you. ProteinSimple considered coming public to aggressively expand their investment in sales and marketing, among other things. Is that still the plan, now that the business is part of Bio-Techne, or do you envision a different level of investment for that business? 
Chuck Kummeth: Our plan with ProteinSimple is to leverage their plan with the content we create. Since this has to have antibodies and proteins that really work within the customer's hands, we provide a lot of different contents in order to customer they want for full solution. So that’s the magic. It’s going to take probably year to make all that happen, but it’s a rocket life it’s [indiscernible]. To be honest, my big issue is to make sure all the stay away. This thing is doing great and it’s growing in year, we’re going to leverage a lot of our resources in Europe operationally. They're very small in China but exploding we’re going to leverage that heavily, so I would say tactically optionally it would help a lot of on the science synergy front long-term point where the investment maybe you’re talking are going to be coming over next as we integrate and as we worked together and where is the appropriate integration, why shouldn’t we work on together, okay, we didn’t put anything in the S1 or anything else there their West type form is way ahead of expectations, what really excited us is the fact that academia is eating it up. They love it. We also thought that might hard pill to swallow with their funding concerns, but it appears not.
Dan Leonard : Chuck, how much detail do you plan to offer on ProteinSimple's business? For example West, can you disclose how many West placements they had in the June quarter?
 Leerink Partners: Chuck, how much detail do you plan to offer on ProteinSimple's business? For example West, can you disclose how many West placements they had in the June quarter?
Chuck Kummeth: We're not going to disclose anything yet, but we expect this question, so with two divisions so far and not going into this instrument we’re going to have to an instrument division probably instrumentation segment to layout for you. You’re going to get lots of data but it’s too early right now but we’re going -- it’s next quarter we’re probably going to see I think a lot entries are coming in.
Dan Leonard : Okay. I know you don't want to provide guidance, but at least on the expense line, can you talk about what you're budgeting for operating expenses in fiscal 15? And the reason I ask is it is just difficult to figure out if the ProteinSimple deal is accretive, dilutive, or neutral to 2015?
 Leerink Partners: Okay. I know you don't want to provide guidance, but at least on the expense line, can you talk about what you're budgeting for operating expenses in fiscal 15? And the reason I ask is it is just difficult to figure out if the ProteinSimple deal is accretive, dilutive, or neutral to 2015?
Chuck Kummeth: I will say that we feel it will be accretive. We’re not to give much guidance beyond that. In terms of our operating expense this year going forward I know in the last year in nine months ago on the first call, you guys were gave a lot of questions about how hard will I invest, what we will is we’ll eat in the margin significantly and there was a lot potential fear around that. If you can see results, we didn’t really impact our gross margin at all. With a lot hiring and a lot of new execs, a lot of new promotional activities, we more than double in from 12 people to like in China, so in all that it’s paying itself all right, that will have to go forward is probably reduced. We’re not going to be investing in same level. Our goal is to definitely have EPS growth and I think I’ll leave with that. Jim, you may want to given little more color around this?
Jim Hippel: Yes, I would say for our core business and we’re still in a at least a two-year build in terms of investment and basic infrastructure and sales, commercial reach et cetera that Chuck kicked off last year and so we’re in fiscal 15 we’re kind of year two with that, it will be somewhat lesser rate, but I feel there will still be investment. I would say overall when you look at core business as well as ProteinSimple, we’re going to reinvest in par with our revenue growth rate that’s the way I think about it particularly in ProteinSimple where they’re still very much in a ramp mode.
Chuck Kummeth: We definitely want to see that need.
Operator: Our next question comes from Suresh with SBH. Please go ahead. Good morning, Suresh with SBH, if have a question, please go ahead. (Operator Instructions) We have a question from Paul Knight with Janney Capital. Please go ahead.
Brian Kipp : Hi, guys, this is actually Brian Kipp on behalf of Paul. Thanks for taking the question. You guys alluded to your Novus platform and the potential to expand your e-commerce channels via the Novus acquisition. Where are you with current -- the Bio-Techne franchise on converting from catalog to e-commerce? And in conjunction with that, what's your horizon to consolidate all these new acquisitions into a uniform platform to drive additional cost synergies? Is that several years out, or just thoughts around that?
 Janney Capital Markets: Hi, guys, this is actually Brian Kipp on behalf of Paul. Thanks for taking the question. You guys alluded to your Novus platform and the potential to expand your e-commerce channels via the Novus acquisition. Where are you with current -- the Bio-Techne franchise on converting from catalog to e-commerce? And in conjunction with that, what's your horizon to consolidate all these new acquisitions into a uniform platform to drive additional cost synergies? Is that several years out, or just thoughts around that?
Chuck Kummeth: That’s great question. Clearly when I arrived we talked a lot about branding and improving the customer experience with a much better Web site and we’ve kicked off a lot of that work and we’re going to be launching our first phase of that this next quarter for Bio-Techne. Now here we think this acquisition and guess what they’ve got their own initiative, their own Web site and all the tests to be kind of integrated and melded, right. And you’ve seen this moving forward. We love both because they’ve got a lot of great additional platform. They have some internal platforms to make running 225,000 SKU business very efficient. We are very impressed. We would like leverage that across our company. It will take us a year to probably do that. We do see it very possible. We are definitely going to merge the Web site now you’re not going to get the PrimeGene product via an R&D system branded part on the Web site. Think it is a tree coming down from biotechne.com and you will either go one direction or the other and you’re going to be looking at branded quality things under R&D systems or you may be looking at fighter brand if you’re academia and some areas maybe in Novus maybe PrimeGene. But we’re going to be very distinct and very careful how we do that and how we integrate. So on a way they can operate as they punch out for now and will be integrating them together for typical SEO type of initiatives over the coming year. Your question whether it will take two years or not, I am not sure that ever done but I think it will take us a full year to try and get something really out there and working cohesively together as a Bio-Techne type of umbrella system and it’s going to take two years and there will be other initiative as well, that’s all in first half and we believe it’s imperative because just part right the long-term going forward.
Brian Kipp : Definitely. And another follow-up, I know there has been a lot of thought and a lot of new product launches over the last year on the analytical instrumentation side to reduce consumer utilization and make it more efficient. Is that a pressure you guys are seeing on your biotechnology business? Is that a driver for you guys to augment that with ProteinSimple? 
 Janney Capital Markets: Definitely. And another follow-up, I know there has been a lot of thought and a lot of new product launches over the last year on the analytical instrumentation side to reduce consumer utilization and make it more efficient. Is that a pressure you guys are seeing on your biotechnology business? Is that a driver for you guys to augment that with ProteinSimple? 
Chuck Kummeth: I’m trying to hear you. This question is breaking up. The line is getting goofy on me here. Would you may repeating it.
Brian Kipp : Yes, can hear me, is it better now?
 Janney Capital Markets: Yes, can hear me, is it better now?
Chuck Kummeth: Try one more time I’ll have -- fill in their answer if I can’t.
Brian Kipp : Any better.
 Janney Capital Markets: Any better.
Chuck Kummeth: That’s better.
Brian Kipp : Analytical instrumentation, a lot of new product launches over the last couple years have focused on reducing reagent utilizations, just to naturally drive efficiencies. Is that something you are seeing as a pressure within your biotechnology franchise and why you’re seeing some anemic or more anemic organic growth rates? Is that why you’re augmenting your legacy reagent business with more analytical instrumentation products that you can synergize and drive top-line growth? Color around that would be helpful. 
 Janney Capital Markets: Analytical instrumentation, a lot of new product launches over the last couple years have focused on reducing reagent utilizations, just to naturally drive efficiencies. Is that something you are seeing as a pressure within your biotechnology franchise and why you’re seeing some anemic or more anemic organic growth rates? Is that why you’re augmenting your legacy reagent business with more analytical instrumentation products that you can synergize and drive top-line growth? Color around that would be helpful. 
Chuck Kummeth: Yes, I think you have to back up a little. What’s driving thing is the need for activity right? ELISA is a great tool, it’s been around for the five years uses a lot reagents we like it we believe it, but it’s not that efficient and we look at -- kind of next generation ELISA, it is micro-fluidic. There are lot of different tool platforms coming out that are getting in the micro-fluidic and they’re doing it not to lesser agent they’re doing it because of lesser agent react -- big component activity. Now we don’t equate the moderation with the value at all. And in fact we’re well known for our -- our bioactivity in lot cases you can get lot more action out of lot less than our reagent So you may pay a lot less money for a same amount of material from them versus us, but you’ll get a lot more work done with us, because we just have work more bioactivity. So you have to be careful when you dive into this, because your question really I think is more around productivity what’s going to help drive productivity and I think speed and accuracy are going to do that and I think solutions that use small amounts of reagents help drive that speed component I think so and that’s where the design systems micro-fluidics happens to be that route. We are very instant in that and we should be being a very nice reagent selling. That set up is that why we’re getting instrumentation again no, we’re getting instrumentation because it’s part of the solution we were trying to sell work with research system to give their help their needs for their experiments and help drive science all the way that’s why we’re working with more KOLs now. That’s why we have a big name CTO that’s why we have science advisory board now helping drive our directions and we’re prioritizing which we go how deep in the stent cell, why and where are we going with it and then if we’re going work with. And through all these collaborations if we come across new tools that change the game and factor not affect the user agents we’re interested. Again we understand this process again as an example if you want to look at our big Western Blot shop, some see us we’ll show you a lot of Western Blot. So ProteinSimple makes really nice sense for us and I can tell you our labs are screaming for tools themselves. So that’s an indication we’re really bullish on we’re talking examples value to the industry. So I hope that answers kind of.
Brian Kipp : Yes, definitely. Thank you.
 Janney Capital Markets: Yes, definitely. Thank you.
Operator: There are no further questions in queue. 
Chuck Kummeth: Little more time, give a minute.
Operator: (Operator Instructions)